Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Schlumberger Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to our host, Mr. Malcolm Theobald, Vice President of Investor Relations.
Malcolm Theobald: Thank you, Julie. Good morning, and welcome to the Schlumberger Limited Third Quarter 2012 Results Conference Call. Joining us on the call from New York City today are Paal Kibsgaard, Chief Executive Officer; and Simon Ayat, Chief Financial Officer. Our prepared comments will be provided by Simon and Paal. Simon will first review the financial results, and Paal will discuss the operational and technical highlights. However, before we begin with the opening remarks, I'd like to remind the participants that some of the information in today's call may include forward-looking statements, as well as non-GAAP financial measures. A detailed disclaimer and other important information are included in the frequently-asked-questions document, which is available on our website or upon request. We will welcome your questions after the prepared statements. [Operator Instructions] And now, I'll turn the call over to Simon.
Simon Ayat: Thank you, Malcolm. Ladies and gentlemen, thank you for participating in this conference call. Third quarter earnings per share from continuing operations, excluding charges and credits, was $1.08. This is an increase of $0.03 sequentially and $0.12 compared to the same quarter last year. As a reminder, all prior-period amounts have been restated as the Distribution segment has been reclassified to discontinued operations following the sale of Wilson in the second quarter and the sale of our investments in CE Franklin during the third quarter. Third quarter revenue of $10.6 billion increased 1.5% sequentially. This increase was driven by international revenue growth of 3.1%. The international growth was offset in part by 2.3% decline in North America. Oilfield Services pretax income of $2.1 billion increased 2% sequentially while pretax operating margins were essentially flat. Sequential revenue and pretax margins highlights by products groups were as follows. Third quarter Reservoir Characterization Group revenue of $2.9 billion increased by 4.8 percentage points sequentially, and margins improved 58 basis points to 28.8%. These increases were driven by improved reservoir utilization at WesternGeco, following last quarter's transits and dry docks, as well as a strong international performance in Testing Services. Drilling Group third quarter revenue of $4 billion increased 1.2% while margins declined slightly by 34 basis points to 18.1%. The revenue increase was largely attributable to Drilling & Measurement on robust activity in the Middle East and Asia. Third quarter Production Group revenue of $3.7 billion decreased 1.7% sequentially while pretax margin fell 148 basis points to 14.9%. These declines were largely attributable to our North America hydraulic fracturing business, as we continue to experience pricing pressure in U.S. land as a result of excess hydraulic horsepower capacity in the market. From a geographical perspective, North America margins declined by 209 basis points to 18.6% while international margins improved 73 basis points to 21.5%. Now turning to Schlumberger as a whole. The effective tax rate, excluding charges and credits, was 23.6% in the third quarter compared to 24% in the previous quarter. Net debt at the end of the quarter was $6.2 billion as compared to $6.7 billion at the end of Q2. Significant liquidity events during the quarter included $1.1 billion of CapEx, $121 million of proceeds from the divestiture of our investments in CE Franklin and $149 million of stock repurchases. During the quarter, we repurchased 2.2 million shares at an average price of $68.19. In addition, during the quarter, we took advantage of the low interest rate environment by issuing $1 billion of 1.25% of 5-year notes due in 2017 and $1 billion of 2.40% 10-year note due in 2022. CapEx is still expected to be approximately $4.5 billion in 2012 as compared to the $4 billion we spent in 2011. And now, I turn the conference over to Paal.
Paal Kibsgaard: Thank you, Simon. Our third quarter results continue to show steady improvement in both revenue and margin performance as seen in the overall pretax operating income, which was up 2% sequentially and 11% compared to the same quarter last year. In the international markets, total revenue grew by 3% sequentially, in line with the rig count while margins were up by 73 basis points, reaching a 3-year high. Activity was solid, driven by both key land and offshore markets. However, regional growth rates continue to vary, driven by changes to activity mix and project schedules. Service capacity remained tight in our Seismic, Drilling & Measurements and Wireline product lines, and we also saw signs of capacity tightening in our Well Testing business. Pricing continued a steady upwards trend during the quarter, driven by higher new technology sales, strong operational performance and further supported by proactive bidding on small- to medium-sized contracts. In Latin America, revenue was flat sequentially while margins were down 113 basis points, driven by a shift in activity mix, operational delays and heavy mobilization costs linked to new contract startups. In Mexico, activity remained steady during the quarter with continued focus on deepwater exploration, conventional offshore development and mature fields on land. We start operations on our -- in our first Schlumberger production management, or SPM, project covering the Carrizo Field, and we also began to mobilize for the second SPM project covering the Panuco block. In Brazil, activity was also flat during the third quarter with growth on land being offset by less offshore drilling as rigs were redirected towards work-over activities. Still, the growth outlook for Q4 is positive with 3 additional deepwater rigs scheduled to start operations, together with higher forecasted stimulation vessel activity. Ecuador saw strong sequential growth as we completed the mobilization of the Shushufindi SPM project. The project is now fully operational and activity and results are progressing in line with our plans. During the quarter, we experienced operational delays in Argentina and Colombia, due to a range of local factors, but we are expecting to see solid sequential growth in these countries in the fourth quarter. In the Middle East and Asia, revenue grew by 7% sequentially while margins were up 126 basis points. During the quarter, Saudi Arabia again posted strong sequential performance, driven by work-over, development and exploration activity. These results were further supported by solar activity growth in Oman, the United Arab Emirates, as well as Kuwait. In Iraq, we completed our resource mobilization following the second quarter contract wins, effectively doubling our drilling activity in the country during the quarter. With this market share gain and our well-established execution track record, we have, over the past 2 years, established our traditional international market position also in Iraq. In China, we continue to see strong sequential growth on land, driven by higher drilling and stimulation activity as our Chinese customers embark on more complex conventional and unconventional projects. Still, the GeoMarket with the fastest sequential growth in the third quarter was Australia, where offshore activity increased and where our strong contracts position in the Queensland unconventionals is starting to have an impact. Following a very strong second quarter, revenue in Europe/CIS and Africa grew by 2% sequentially while margins were up by a further 138 basis points. In the North Sea, we saw strong activity at WesternGeco, which was offset by startup delays on several smaller projects for other product lines, as well as extended summer maintenance shutdowns in both Norway and Denmark. In North Africa, delays negatively impacted results in Algeria while issues related to the security situations slowed the activity ramp-up in Libya. Activity in Sub-Sahara Africa remained strong during the third quarter with significant sequential growth in East Africa. Russia and Central Asia also saw strong sequential performance, driven by activity growth in Western Siberia while offshore activity remains flat for the quarter. In North America, sequential revenue was down 2%, and margins were down 209 basis points. In terms of activity, the results were negatively impacted by a slower-than-expected seasonal pickup in Canada, a 3% sequential drop in the U.S. land rig count, as well as the activity shutdown in the U.S. Gulf of Mexico linked to Hurricane Isaac. The negative pricing impact on our hydraulic fracturing business in U.S. land continued in the third quarter as the new pricing levels further penetrated our contract base. Furthermore, in U.S. land, we also saw the first signs of pricing weakness in our coiled-tubing business towards the back end of the quarter. In the Gulf of Mexico, excluding the Hurricane Isaac impact, deepwater activity grew in line with our earlier outlook and the number of deepwater drilling rigs is set to reach pre-Macondo levels by the end of the year. We continue to show strong operational performance, and our Gulf of Mexico business is becoming increasingly accretive to our North American markets. In WesternGeco, we operated one dual coil fleet in the central Gulf while multiclient sales were flat with the previous quarter. Let me now turn to some of the technology highlights for the quarter. In the Reservoir Characterization Group, we opened the Schlumberger China Petroleum Institute in Beijing. The institute houses more than 100 of our petro-technical experts, which, together with domain experts for most Schlumberger product lines, offer a full range of reservoir services to the various players in the Chinese oil and gas industry. To further strengthen our position in the emerging shale market in China, we also signed a joint venture with the Chongqing Institute of Geology & Mineral Resources to provide basin studies, subservice data integration and optimize well and completion planning for the new players coming into the Chinese shale market. Elsewhere, we continue to expand our presence and capacity for core and fluid analysis with the opening of our latest lab in Houston, which joins our network of over 25 labs around the world. We are also continuing with our strategy of combining our downhole fluid and core-sampling technologies with our lab capabilities to provide a seamless, integrated service. In the Drilling Group, we continue to execute our strategy, focused on creating the next step-change in drilling performance through total system integration, and we are progressing well with this work as can be seen by the improvement in the Drilling Group financial results over the past 2 years. During the quarter, we reached a significant milestone where Smith Bits, for the first time in their history, captured the #1 market share spot according to the latest Spear's survey. This achievement is another testament to what the Smith segments can achieve through their unique technology and as part of Schlumberger, both with respect to the overall drilling workflow and our global infrastructure. Another very interesting drilling technology being introduced by Geoservices is the advanced couplings characterization. Here, we performed continuous petrophysical measurements of the couplings as they come off the shakers. And through novel data processing, we can establish the reservoir quality of the rock and also tie it back to the specific well depth. This will offer a very effective way of optimizing well placement and completion intervals, for instance, in horizontal shale wells. In the Production Group, we performed close to 2,100 stages with HiWAY way during the quarter, which represents record activity and a sequential growth of around 60%. In addition to the established HiWAY markets in North America, such as the Eagle Ford, we also saw meaningful penetration into several other basins, including the Bakken and in Canada. HiWAY's production results and completion cost savings have been the main driver for its penetration into these basins. We also completed a study of public production data covering the Eagle Ford that show that average production from the HiWAY wells was 65% higher than non-HiWAY completed wells. In the international markets, HiWAY saw continued growth with a near doubling in stage count versus the prior quarter. Let's then turn to the macro environment, where both the U.S. and European Central banks announced interventions to support growth in their respective economies. China continued to show signs of slowing growth, but so far, the slowdown appears to be actively managed and, for the time being, kept under control. Altogether, these developments have left the GDP growth outlook for 2012 and 2013 more or less unchanged from the previous quarter. At the same time, the supply and demand balance of the oil market remains tight with continued production challenges in the non-OPEC countries and with OPEC spare capacities staying close to a 5-year low. Based on this environment, we continue to see Brent crude prices reported around current levels, although there could still be periods of volatility. In the international market, we have seen no material change to overall customer activity plans or sentiments during the quarter, and we still expect our activity to grow in excess of 10% this year. In North America, the activity sentiments are currently more negative, both in Canada and U.S. land, with liquids activity no longer able to offset the drops in dry gas drilling. This, coupled with ongoing pricing pressure in hydraulic fracturing, as well as early signs of pricing weakness in coil tubing in U.S. land, indicates no immediate change to the North American headwinds. As we continue to navigate the overall macro uncertainty, manage the North American headwinds and capitalize on the steady international growth, we maintain relentless focus on the quality and efficiency of our execution. This execution capability, together with our balanced technology portfolio and unmatched international strength, will allow us to deliver double-digit growth in earnings per share in 2012, as well as solid margin progress, in what remains quite a changing business environment. This position and these capabilities also put us in the driver seat for continued outperformance in 2013, which remains the collective ambition of the entire Schlumberger team. Thank you very much. I will now hand the call over to Malcolm for the Q&A session.
Malcolm Theobald: Thank you, Paal. We'll now open up the call for questions. Julie?
Operator: [Operator Instructions] With that, we'll go to line of David Anderson with JPMorgan.
John David Anderson - JP Morgan Chase & Co, Research Division: Paal, question, international performance, particularly out of Eastern Hemisphere, is very impressive this quarter, particularly how it has progressed over the last year or so. I was wondering if you could talk a little bit about the drivers behind that. How much of this would you attribute to, say, execution, activity levels, pricing? And I guess what I'm really trying to understand is how much of this momentum do you see continue into 2013, in other words, is it sustainable now and we continue to build from here.
Paal Kibsgaard: Okay. So if I started with the Q3 performance, I would just say that I'm overall pleased with the progress. We are keeping very strong focus on execution as we have been talking about in earlier quarters, and we also are doing quite well when it comes to cost and resource management. We also continue to work on our internal improvement programs, which, by the way, is included in our normal operating cost. So in terms of margins, we saw further progression in Q3, and we had very good incrementals. And as I said in my prepared remarks, our international margins is now at a 3-year high. Some of the drivers behind this is slow but steady pricing increase, driven by new technology sales, as well as strong operational performance. But I would also say that the quality of service is still a market share driver for us, right? The D&M Q3 replacement ratio was again 34:3. So we're maintaining this 10:1 ratio, and this is actually starting to become meaningful for D&M now, which have shown significant improvement in financial performance during this year. So if you then take that performance and try to look forward, we maintain our positive view on international markets and also our performance there, right? We have a very strong international contract portfolio, and this portfolio has solid upside when it comes to both technology and the performance. And the other thing I would like to highlight as well is that we continue to expand the international presence of our smaller product lines. If you look at operations internationally today, we operate in over 80 countries and we have 17 product lines. But in 50% of these countries, we only have 50% of our product lines present. So I would say that we still have a lot of runway in terms of growth and as per market penetration. So in terms of margins going forward, I would just say that we will continue to leverage the size and the infrastructure and the execution capabilities to drive both the top line and further margin expansion. So as overall -- I mean, our view on the international market remains positive, and I'm pleased with the progress in terms of how we're executing. And I would expect us to continue to improve going forward.
John David Anderson - JP Morgan Chase & Co, Research Division: More specific questions, just Saudi, if you don't mind. How do you see Saudi market develop in the next several years, and how much of their growth is going to come from gas? I mean, I know we're not going to see the huge massive ramp-up we saw last cycle, but we're hearing more and more talk about gas being one of their focuses up there. So I'm just kind of curious, how much of gas do you see that big -- as a contributor there? And can you give us a sense as to how much that gas market in Saudi has grown over the last year?
Paal Kibsgaard: I don't have the breakdown of the rig increases that we've seen over the past year, right? But Saudi today is on track to reach 134 rigs by year end, which they, more or less, indicated. In terms of the outlook beyond year end, we don't expect this -- a dramatic increase in rig count, I would say, in the first half of next year. But rigless activity remains strong and is also a key growth driver for us in Saudi. But like you said, gas is important. Saudi Aramco recently announced a gas discovery in the Red Sea, which -- there's no firm plans beyond this. But with the gas discovery, I think it's reasonable to assume that there'll be more exploration activity around that. And there's also a lot of gas-related activity in the Northwest, linked to both tight gas and shale. So you're right to point out that gas is important, and I would say that gas, in terms of future growth in Saudi, is probably going to be one of the key drivers.
Operator: The next question comes from Kurt Hallead with RBC.
Kurt Hallead - RBC Capital Markets, LLC, Research Division: Paal, I was just wondering if you might be able to provide us some perspective on -- you guys put out some very strong performance here relative to your peer group over the last couple of quarters. Maybe provide some perspective on how you plan on maintaining that performance differential going forward. And then in addition, some of your -- some commentary we've recently heard for some land drillers and from some of your competitors are calling for an uptick in activity in the U.S. market, U.S. land drilling market, going out into 2013. If you could give us some perspective on the outlook there, that'd be helpful, appreciate it.
Paal Kibsgaard: Okay. So the first part to your question was related to North America as well?
Kurt Hallead - RBC Capital Markets, LLC, Research Division: Just globally, really. It looks like your performance overall for revenue growth, margin performance, et cetera, has been exceeding your peers over the last couple of quarters.
Paal Kibsgaard: Okay. So if I -- if you go back to the first question, I answered that. I think a lot of the elements of our international performance I covered there. So maybe I just focus in a little bit more on North America.
Kurt Hallead - RBC Capital Markets, LLC, Research Division: Okay, fair enough.
Paal Kibsgaard: So if you look at Q3, overall, again, solid performance for us in Q3. I'm pleased with the progress. Since we restructured our business about 2 years ago, we now have a very lean and focused North American organization. We have invested quite strongly in infrastructure over the past couple of years. So we are now able to leverage that. And we also -- after the Smith merger, we now have a very broad technology and workflow offering in the North America land marketplace, which we are also able to leverage. And finally, what I would say on the means we have to succeed, we probably have one of the best supply chain organizations in the North American market as well. They have done a really great job in particular, together with our pressure pumping organization, this year. So -- further on performance in North America, if you look at how we have been addressing the fracturing market, more or less from the beginning of this year, we have kept focus on what we call minimum effective margins. This is basically the product of our bid price times the utilization. So if these effective margins go below a certain level, we are prepared to lay down crews. So we laid down crews in Q2. We also laid down crews in Q3, and this is how we are able to protect better, I would say, the margins in our pressure pumping business. Now in terms of the other product lines on land, we continue to have solid performance both from Drilling and Wireline. Obviously, the Gulf of Mexico remained strong for us and was, in Q3, highly accretive again, even with the Hurricane Isaac impact, and this is with flat seismic sales quarter-on-quarter. Now if you look at the North America market going forward, from our standpoint, the -- on the plus side, we expect to see continued strong performance in the Gulf of Mexico from us, both when it comes to drilling activities as well as seismic. And we also see Canada having a positive impact for us in Q4 and Q1, although not to the same level it had in the previous year. Now on the negative side, fracturing margins are going to come down further in Q4 and likely also in Q1 as the new pricing levels work its way through our contract volume. But -- and also -- as I also mentioned, we also see some margin pressure in coiled tubing. Now what's going to happen beyond Q4 or Q1, I would say there's really 3 main questions in my mind. Firstly, will there be a Q1 recovery in liquids rig count after Q4? This is key to maintain the current land pricing overall, both for frac-ing as well as for the other product lines. The second question is will there be a share place in the frac markets and a new pricing floor, given the fact that there are significant excess capacity in the market, and also, when the guar leaf comes, is this going to be another source of market share place. And then the third question in my mind is in terms of how North America, overall, is going to perform, what are really the normalized frac margins. The way I see it or we see it, the frac market in North America today is largely a commodity market with a very low barrier to entry, where capacity is really driving the pricing. And we peaked at around 30% margins, and the trough is now in low single digits. And I would say, in my mind, that the normalized margins are more in the middle of this. They're certainly not towards the upside. So I think these 3 elements, obviously, are going to be important to sort of guide us in how the North America market is going to continue to evolve. But I would say I'm very optimistic, though, in terms of our ability to outperform on a relative basis in North America.
Operator: We'll go to the line of James West with Barclays.
James C. West - Barclays Capital, Research Division: Paal, as we think about 2013, I want to dig in a little more on Dave's earlier question. Given the large number of startups and staging for contracts, it's underway now, which I guess, first off, makes your margins look even more impressive, but there's a lot of work that's been awarded to yourself and the industry that's getting underway now. That should lead to significant growth in '13. I'm talking more on the international side, of course. Do you see international growth in '13 consistent with '12, or could it be above or below?
Paal Kibsgaard: I think in terms of the activity, like our outlook for international, it's still a little bit early to kind of pin it down in detail, right? We are just entering our planning process, and our customers are doing the same thing here. So I would just say that we maintain a positive view in international markets. We see growth in 2013, and I think the rate of growth, I think, is going to be much clearer by year end. But again, we have not seen any major shift in customer sentiments over the past quarter. So unless there's a dramatic change in their view of the market and their spend at the commodity planning cycle, we are optimistic that it's going to be more of the same for next year.
James C. West - Barclays Capital, Research Division: Okay, fair enough. And then on seismic, which has been an area of strength this year. It seems like the fourth quarter is mostly -- or close to sold out at this point on the marine side, and that would set up for a good 2013. Are you continuing to see good pricing gains on the Seismic side? And am I correct that the fourth quarter is mostly sold out, that that should lead to a very strong '13?
Paal Kibsgaard: Yes. I think that's correct. Q4 is more or less booked, as you say, largely driven by South Atlantic activity, both West Africa and, for us, Uruguay. So our view hasn't changed. We were indicating that we didn't think that Q4 would see the normal seasonal low, and that's actually transpiring. So going forward, we continue to test pricing for 2013 work. We already awarded some work for the next North Sea season, and the pricing is even up from what we have bid earlier, right? We are now pushing about 15% versus the 10% that we talked about earlier. So overall, we maintain quite positive view on the seismic market.
Operator: We'll go to the line of Scott Gruber with Sanford Bernstein.
Scott Gruber - Sanford C. Bernstein & Co., LLC., Research Division: Simon, a question for you on initial CapEx thoughts for '13. Baker's come out and guided for a big 25% reduction. Halliburton was out earlier, guiding for a decline as well. Are you anticipating a reduction in spending levels next year?
Simon Ayat: Paal just mentioned that we're going to -- we're going through the planning cycle. And I'm going to turn it over to Paal to tell you what the initial numbers that are coming, but we are going through a planning cycle as we speak. And there is a bit of shift between activity places that might require additional CapEx. But Paal have a little bit input now at the early stage?
Paal Kibsgaard: Yes. So firstly, 2012 CapEx spend is going to be around $4.5 billion, as we said, which is in line with the plan that we previously communicated. The main shift we've seen during this year, going back to what we were planning at the beginning of the year, is that we have significantly reduced NAM CapEx, and this has been offset by higher international CapEx. So as Simon was saying, the 2013 CapEx spend outlook, it's still early days. We are just starting in the planning cycle now. But I would say as a general view, at this stage, I would say CapEx would be likely flat to slightly down. The main drivers or the main focus for us in 2013 is going to be the international market, and it's going to be a traditional high-capital service segments, like WesternGeco, Wireline, Drilling & Measurements and Well Testing. Now while we continue to inject capital into these businesses, we also continued to drive efficiency and utilization for all of them to make sure that we can be as lean as possible with how we spend our cash, right? The other key thing for us next year in terms of CapEx is that we are -- we're also continuing to invest further in infrastructure, in particular in Sub-Sahara Africa and also in the Far East, in particular in China. And the last part as well, as I mentioned, we're looking to further expand our smaller product lines into the international market, and there is some associated CapEx with that. But overall, I would say, at this stage, CapEx is likely to be flat or slightly down.
Scott Gruber - Sanford C. Bernstein & Co., LLC., Research Division: And if I stood back and think about the broader environment, thinking not just about '13 but into '14, are we entering a period of declining capital intensity now that the big spend on U.S. pumping is over? I've realized there's still roofline investment going on abroad, but sounds like that's going to be flattish, maybe down, relative to this year. And it looks like, too, that the big spend on international shale operation is still a few years off. So if you look at CapEx relative to sales or cash flow, do you anticipate, potentially, a few years of declining capital intensity?
Paal Kibsgaard: Well, I wouldn't stretch it further than 2013 in the comments that I made. But I think your commentary around investment into pressure pumping capacity, I think those are fair. We have enough pressure pumping capacity at this stage to go around for a while, right, and, I think, so does the overall market. And you're also right in saying that the volume of international unconventional activity is not likely to sky rocket very -- anytime soon. With that said though, the investment into our high-end service line, such as WesternGeco, Wireline and Drilling & Measurements, in particular, for deepwater and exploration type of activities, there's lot of CapEx that goes with these activities. And the returns, both in the capital and the return on sales, is obviously very good to that. So if the market is there, we will happily invest into those businesses and as long as we get the right returns.
Scott Gruber - Sanford C. Bernstein & Co., LLC., Research Division: But the investment in Seismic is primarily technology, not vessel spend right now, correct?
Paal Kibsgaard: Well, we have 2 vessels under construction, which will be delivered in 2014, where a significant part of the CapEx associated with those vessels will be taken in 2013. Also, as we continue to ramp up the coverage of IsoMetrix on our seismic vessels, that will also be a significant CapEx spend, right? So the Seismic over the next couple of years will be a significant CapEx spend for us, provided the market continues to head in the direction we see now.
Operator: The next question is from Bill Herbert with Simmons & Company.
William A. Herbert - Simmons & Company International, Research Division: Back to the international outlook for a second and recognizing the fact that, as you mentioned, the outlook for '13 should begin to crystallize much better towards year end, but it doesn't -- it's not all that obvious to me that the IOCs, even with very generous oil prices, are generating significantly abundant cash flows, surplus cash flows, which leads to the same rate of growth that we saw this past year. I'm curious as to how -- just conceptually, how growth rates in '13 could match 2012 if the cash flow generation is going to be less generous. And then -- I mean, is the swing factor the NOCs, the greater sense of urgency on the part of Petrobras, more catharsis in West Africa, greater uplift in Saudi? How do we match those growth rates year-over-year?
Paal Kibsgaard: Sorry. First of all, I'm not saying we would match the growth rates. I'm just saying that we maintain a positive outlook on the international market, and we see growth in 2013 as well, right? So it is still -- typically, we don't even talk a lot about the coming year and the -- after Q3, we typically leave that to January. But like I said, we are -- we maintain a positive view on next year. I think it's probably better to look at -- so maybe you can switch from activity and revenue to earnings, right? And I would just say that we obviously continue our focus on growing total earnings, and that's through both the top line and margins. And I would say that assuming no major negative change in the global economy and no further setbacks and a second lag down in North America, we are, at this stage, aiming for double-digit EPS growth in '13, right? And that would be a combination of top line growth, as well as margin improvement. So I think it's too early to kind of break it down to look at what the IOCs and the independence and the NOCs are going to spend next year, because we really don't have the data. But we are aiming for double-digit EPS growth in 2013.
William A. Herbert - Simmons & Company International, Research Division: Okay, that's fair. And then secondly, with regard to sort of coming back to the near term here. You mentioned you're not going to witness the same seasonality with regard to the contract business, thanks to good bookings in the South Atlantic margin. Do you have a window into the outlook for year-end multiclient sales at this stage in the Gulf of Mexico?
Paal Kibsgaard: No, not really, other than that there is a lease round in November in the western Gulf and there is another one, what, in March in the Central Gulf. Typically, the way the fourth quarter goes when it comes to multiclient sales, it's down to the last week of December when we finalized the last major sales, right? So it's difficult to say what it's going to end up on. But I would just say that in North America or in Gulf of Mexico, there is a lot of positive sentiments around the outlook for the Gulf of Mexico. Drilling rigs continue to rise. We will be at pre-Macondo levels by the end of the year. The lease rounds that are announced, I think, is a positive. So we maintain a positive view on the business there, overall. So I would expect there would be a good multiclient sales in Gulf of Mexico in Q4, but it's going to come down to the last week of December.
Operator: Next question is from Bill Sanchez with Howard Weil.
William Sanchez - Howard Weil Incorporated, Research Division: Paal, I was just curious if you could talk a little bit more about Canada longer term here. By our math, it probably is still north of 10% of your North America revenue stream. And I think what we found there's been some conjecture on whether or not this lower rig count has been more transitory here as opposed to something structural changing within the Canadian market. As we look out to next year, I know you mentioned earlier that you're aggressive in rightsizing your North American operations. But as you see Canada going forward here, do you feel like you're profitably rightsized for how you see the longer-term activity there in that market? Or do you think the industry, as a whole, is frankly probably overcommitted to that market at this time?
Paal Kibsgaard: Well, I think we were a bit surprised when we looked at the -- when we saw the recovery in the rig count over the past quarter. We were expecting it to be pretty much in line with last year, right? Now this is a combination of high gas storage levels, as well as weather and structural conditions, right. So like I said before, we're expecting growth again for Q4 and Q1, but the activity levels are going to be well below last year. With that said, I think, overall, Canada they have a lot of resources, both on conventional gas liquids as well as heavy oil. So there will be a lot of activity, I think, in Canada going forward. We have, in my mind, a good setup there, and we will continue to invest into it as the market evolves. Where we probably have more opportunity going forward is in the heavy oil, which I think we are less represented than we are, for instance, in the shales and on the -- in Eastern Canada. But overall, the -- we maintain a positive view on Canada.
William Sanchez - Howard Weil Incorporated, Research Division: Okay. So as you see it going forward, you're rightsized properly for that -- for the activity levels you forecast and actually be looking maybe to put some incremental services in there?
Paal Kibsgaard: Yes that's correct.
William Sanchez - Howard Weil Incorporated, Research Division: My follow-up would be just -- as we think about international just near term, is there anything, Paal, that would alter the view of kind of what we saw in 4Q as we think about the seasonal uptick that you typically get in your business from your own product sales and the like, that fourth quarter revenue growth, internationally, should be pretty strong here as we look to 4Q?
Paal Kibsgaard: Yes. No, we don't see anything largely different than what we would expect in previous years. So there's typically an uptick in fourth quarter sales, both linked to software and, say, hardware completions sales, as well as multiclient. So there's always some variation and uncertainty what happens with respect to those sales. But overall, we expect that to occur again this year.
William Sanchez - Howard Weil Incorporated, Research Division: Okay. Because as I look at fourth quarter '11, you were up high single digits in Eastern Hemisphere, third to fourth quarter, that's probably not unreasonable to think about for 4Q this year?
Paal Kibsgaard: Well, I haven't looked at the numbers. But I would say that a similar type of uptick as we saw last year is not unreasonable to expect.
Operator: We'll go to line of Michael LaMotte with Guggenheim.
Michael K. LaMotte - Guggenheim Securities, LLC, Research Division: Paal, I wanted to follow up on some comments that you made back at the last Analyst Meeting in Boston with respect to the supply chain and procurement initiatives. Can you give us a progress update as to how far along you are vis-a-vis those targets and perhaps some indication of the impact that that's had on the P&L thus far? I know it's a big part of the execution program, but focusing more on the cost side of the equation as opposed to execution on the field.
Paal Kibsgaard: Yes. So I think if you split it into quality and efficiency, I would say the quality part, we have worked on now since 2008, 2009, and it's starting to have a meaningful impact in terms of the overall reliability of our services, right? And that's -- you see that, in particular, in a segment like Drilling & Measurements. So that is part of why I believe we are superior when it comes to execution strength from a quality standpoint. Now the other parts that I referred to over the last quarter was more linked to the efficiency side, and this has much more to do with the internal things like asset utilization, transportation, shared services and this type of things. I would say we are much -- in a much earlier stage of capitalizing all those benefits. You always get some lower hanging fruit as you start focusing in on things. But these programs are multiyear, and we will see gradually fruits of them coming forth in the coming years.
Michael K. LaMotte - Guggenheim Securities, LLC, Research Division: Can you remind us of what the targets are for that program.
Paal Kibsgaard: I -- we have targets but I haven't shared the targets, and I don't intend to share them.
Michael K. LaMotte - Guggenheim Securities, LLC, Research Division: Okay. The other question I had was with respect to the shale workflow. As we're moving from a horsepower-driven market, everybody's trying to differentiate themselves, and one of the common terms that we've heard just in the last few months has been around the notion of workflow. Can you address the competitive advantages you -- that you think that Schlumberger has in -- with respect to workflow?
Paal Kibsgaard: Yes. We've been talking about workflow now for a couple of years. So, I find it interesting to see that the broader industry is now taking up the concept and also want to take part in it, right? So the advantages we have is starting off with Reservoir Characterization and our ability to basically establish 3-dimensional models that can predict variation in shale quality, similar to what we can do in conventional reservoirs. Now when you have that capability, you can, firstly, place your wells in the right position aerially. And secondly, when you evaluate the quality of the rock in the horizontal section, you can also complete the parts of the horizontal section which is most likely to actual flow. Today, there's a significant part of the horizontal section that are frac-ed that never actually flows anything, which means that the frac itself was probably a waste. And then the last part also has to do with how you frac these wells. Today, we create a very deep fracture network, and we only are able to prop a small part of it, which means that all the horsepower and the water that you use to create a deeper fracture is also a waste, right? So I would say that we have a very clear view on where the waste in the current process is, and we have technologies and workflows that can help our customers address these. We see a further uptake of these technologies and these workflows in North America. And for the projects that we are involved in internationally, which are more exploration or appraisal focused, we always use these workflows overseas.
Michael K. LaMotte - Guggenheim Securities, LLC, Research Division: If you had to sort of gauge growth internationally versus, say, penetration of the workflow domestically, which would grow faster do you think?
Paal Kibsgaard: I -- it's difficult to say. I would say, in the international market, the two markets that I would say would have the most meaningful activity growth in the coming couple of years would be Argentina and China. And it's interesting to see now that YPF seems to be quite eager to pursue the Vaca Muerta shale in Argentina. So there's a fair bit of rig activity moving into the Vaca Muerta. And I think in that sense, we are a lot more optimistic on the activity outlook for Argentina, at this stage, than maybe what we were one quarter ago. And you also seen some of the moves we have been making in China recently, and that's again at the back end of our view that China also will see a good growth in both tight gas and shale gas going forward, right? So to what extent that is going to generate growth versus the penetration in North America? I think it's a bit of a toss-up. But I would say more and more customers in North America are interested in the shale workflow and the associated technologies that we have to go with it.
Operator: Next question is from Angie Sedita with UBS.
Angeline M. Sedita - UBS Investment Bank, Research Division: Paal, you recently made some very positive comments regarding the clearly attractive subsea markets, and certainly, I understand you maybe in the early stages of looking at opportunities. But 2 questions. Would potentially a JV or an alliance with the subsea production company make sense around the now wholly owned Framo business? And two, given that you do now own Framo outright, would you consider bidding directly on subsea separation opportunities in the offshore market?
Paal Kibsgaard: Yes. When it comes to, generally, how we -- what we will do in the subsea market going forward, that's something that we're still evaluating, right? So I wouldn't provide any specific comments on any plans that we may or may not have in terms of how we address the market going forward. What I wanted to do when I put subsea on the agenda earlier this quarter was just to indicate our view on what the opportunity in subsea is. And a lot of the opportunity evolves around the fact that the recovery rates are, on average, half for subsea developments compared to what conventional topside developments are. And if you look at the capabilities we are -- we have in terms of subsurface understanding, modeling and prediction, the ESPs, the intelligent well completions and Framo, as you rightly point out, we have a lot of the ingredients that can help drive recovery from these type of developments, right? So would we bid directly or independently on processing projects? We would have to look at how big they were and how we potentially could align ourselves with other players that have some of the capabilities and some of the, I would say, technologies that also needs to go into that project, right? But we are undertaking a number of significant projects with Framo already, some of them we highlight in the press releases that we send out every quarter. And I would just say that Framo, as it is today, is one of our fastest-growing product lines, and they are at the cutting edge of technology. So as it is today, we are very pleased with how it’s performing.
Angeline M. Sedita - UBS Investment Bank, Research Division: No, fair enough. Great business. And then as a follow-up or a separate question, thoughts on Mexico and Russia for 2013, both of them appear that they could be a bit stronger with new opportunities, specifically in Mexico, and what type of opportunities do you see next year in both areas.
Paal Kibsgaard: Yes. As we started with Mexico, I would say that we have quite a positive activity outlook on Mexico, driven by both land and offshore, and offshore both shallow water and deepwater. The deepwater Gulf of Mexico activity for PEMEX continues, and we have a significant presence on that. There is also continued focus on mature fields in Mexico and a potential for more SPM activity. And there's also now more focus, again, on the shales in the north region as well from the PEMEX side. So I would say that the overall view on Mexico is quite positive for us going into 2013. When it comes to Russia, quite similar, also positive. We expect to see, again, continued growth in Western Siberia, where we have a very strong position through our local presence there, and then you'll have continued exploration activity, for instance, in the Baltic and the Bering Sea. And we also see very solid activity for Sakhalin and the Caspian regions. So you're right to point out Mexico and Russia as positives going into 2013.
Operator: We'll move on to line of Brad Handler with Jefferies & Company.
Brad Handler - Jefferies & Company, Inc., Research Division: Let's see, maybe you can speak a little bit, guys, to SPM. You just touched on it with Mexico, I know. But can you give us a sense as to perhaps the run rate in the third quarter, how that compares to where it was a year ago or a couple of years ago on the top line?
Paal Kibsgaard: Yes. We don't disclose those details on other than -- we have -- if you look at the number of projects that we have won and are in the process of taking on at this stage, we are, I would say, significantly up in terms of overall activity and also, overall, the number of barrels that we actually manage, right? So a lot of the contract wins that we've had have been in Latin America. The Shushufindi project is the -- probably the biggest project that we've ever taken on, and the ramp-up has now been completed. We're operating 5 rigs in this project, and we are pretty much on track for the work program and the -- for the production profile that we laid out to achieve. The other project is in the Carrizo project in Mexico, where, again, we are just in the process of mobilizing now or are more or less finished and we are starting to mobilize for Panuco. So overall, I can't give you the exact number for revenue or for production. But we split SPM out from IPM about a year ago, and we did that to put a lot more focus onto these production incentive contracts because it is a differentiated growth opportunity for us, given the capabilities we have here. And also, the margins for this type of business is highly accretive to the overall margins of the company, and that's why we are continuing to pursue them. Now the overall sales process for this type of project is quite long. There's a lot of due diligence work needed to go in. And I would say that we are not -- we're not accepting every opportunity. If we're not satisfied with certain elements of how these contracts are set up, we will turn them down. And we have turned down contracts, even recently, that we decided were not good enough for us. So this is all about portfolio management and risk management, and we will take our time in terms of how we grow the business. But there's a lot of opportunities out there, and we will continue to pursue them.
Brad Handler - Jefferies & Company, Inc., Research Division: You anticipated a couple of follow-on questions anyway, but I'll sneak in another one in the same area.
Paal Kibsgaard: Sure.
Brad Handler - Jefferies & Company, Inc., Research Division: The -- maybe you can give us some sense of the degree to which, as it sits today, with what you won? There is a performance kicker tied to SPM. Or how integral is that to your selling process? Do all of them have performance bonuses, presumably based on production increases and the like?
Paal Kibsgaard: Yes. All the SPM projects are performance based. If it's only turnkey drilling or normal contracts, we don't classify them under the SPM product line. So this is where we are typically paid on a fee per barrel. So we will invest the value of our products and services. We will agree a decline curve with our customer. And the production that we will generate through our investments on top of that decline curve, we will get a certain fee per barrel for. And that's, overall, how we are paid. And that's why, generally, this will generate cash for our customers, and there are ways -- this is a way for them to unlock maybe aging assets that is not really a priority for them to spend their cash on. And then that's why this is quite a good business model. Now in terms of how this will be a growth avenue for us going forward, it's still a relatively small part of our business. But again we continue to focus on it, and we will continue to grow it in a -- I would say, in a somewhat conservative way.
Brad Handler - Jefferies & Company, Inc., Research Division: Fair enough. Is it -- do you think it's relatively less or more capital intensive than the balance of your business? Simon, have you looked at it specifically that way?
Simon Ayat: No. The capital associated with SPM project is not more than our regular business. What is more than our regular business is sometimes you have investments upfront, and this is part of the overall evaluation of the project and how we will -- how much is the cash flow required upfront and the investment. And the investment is not in CapEx, the investment in services that are spent ahead of time in anticipation of the uptick in the production and, therefore, the additional revenue that we'll generate. We are very conservative on how we will account for these projects, and there is a regular evaluation of the potential of the additional revenue and additional production that will basically compensate for the initial investment.
Operator: The next question is from Jim Crandell with Dahlman Rose.
James D. Crandell - Dahlman Rose & Company, LLC, Research Division: Paal, I think in your remarks you talked about new Wireline tool introductions in the quarter. And your largest competitor also talked about that this morning, and theirs was focused very much on the deepwater, and then in return, and they mentioned the Gulf of Mexico. Can you talk a little bit about what your new Wireline tools are that you're introducing and what market they're earmarked for?
Paal Kibsgaard: Well, the -- if you look at the 2 latest that we have introduced, is the Dielectric Scanner and Litho Scanner, is all part of the scanner family. So the Dielectric Scanner is focused in on formation evaluation in carbonates and heavy oils and mixed salinity. So these are special type of measurements with relatively broad applications, as you see, right? And the Litho Scanner is, again, a formation evaluation measurement linked to shale, which gives you shale composition and also total organic content, right? So what we are trying to do on the formation evaluation side in Wireline, at this stage, is to focus in on these, I would say, complex reservoirs or unconventional reservoirs in terms of formation evaluation, both in terms of fluid determination as well as the composition of the rock. So those are the 2, I would say, latest and 2 main introductions that we've done recently.
James D. Crandell - Dahlman Rose & Company, LLC, Research Division: Okay. And as a follow-on, if the domestic rig count, domestic meaning U.S. land rig count, were to fall by another 10%, would you consider Wireline or LWD prices to be at risk of going down under that scenario?
Paal Kibsgaard: Yes. I think if the overall North America land rig count was to drop by 10%, I think I would be concerned about the ability to hold pricing on the other services on land, that being Drilling or Wireline, right? Like I said, we're already seeing some early signs of weakness in coiled tubing. Whether that is going to continue or it's more of a Q3-Q4 effect, which will bounce back next year, it's too early to say. But it's really the first product line that we have seen pressuring so far. The other ones are holding. But you're right to point out that if the rig count was to go down, overall, further, then I think there might start to be pressure on the others. We haven't seen anything yet, but that is something that I would probably worry about.
Operator: We have time for one final question from the line of Jud Bailey with ISI Group.
Judson E. Bailey - ISI Group Inc., Research Division: I wanted to ask about a couple of markets. Paal, you mentioned in your prepared comments some of the work you're doing in China. And I was wondering if you could give us a little more color just on that market, how we should think about it in terms of growth opportunity and what kind of product lines you're utilizing the most?
Paal Kibsgaard: Yes. So the -- what's happened in the China market recently is that there's a lot of drive, I think, from the government to develop the unconventionals, both the tight gas as well as the shale gas. They're importing LNG at very high prices, and they have a significant unconventional gas resource in the country, which they are very keen to develop. So tight gas remains the main focus of the 3 main Chinese national oil companies. But shale gas, the government has classified not as hydrocarbon but as a mineral. And when it's classified as a mineral, the -- it is basically open for any other company to bid for licenses and actually go ahead and do work. So there's a lot of interest from other type of companies, whether it's utility, coal companies or just private equity companies, to come in and take licenses in shale and to start developing them. Now a very few of these have any capabilities when it comes to reservoir evaluation or actual well-side execution when it comes to these things. They don't have their own service companies, which the 3 main Chinese companies have. So that's the opportunity for us to have significantly more penetration of the shale market in China as it evolves going forward. And this is, again, why we have made some of these moves in terms of joint ventures. So the joint venture with Chongqing is linked at the reservoir evaluation standpoint, while the joint venture we signed this quarter with Anton Oil is more focused on IPM activities around well construction and frac-ing of these shale gas wells. So there's a reservoir aspect to it, and there is the full portfolio of drilling and production-related activities that goes with it as well.
Judson E. Bailey - ISI Group Inc., Research Division: Okay, that's interesting. And would you say the better opportunity is it market penetration? Or just the growth of the overall market itself?
Paal Kibsgaard: Well, I think it's actually both. In the past, we've had limited penetration because the state oil companies have their own service arms. We do some of the high-end activities for them. We help them out with certain things. But there's a lot more opportunity in the shale now for these other players to do a much more significant part of the work, so I think that's where the opportunity lies.
Judson E. Bailey - ISI Group Inc., Research Division: Right. And my last question is just on Brazil. They've taken -- Petrobras has taken delivery to lot of deepwater rigs the last year or so. They're going to get more active in some of their presalt development, but another initiative of Petrobras is trying to stem some of the production declines at -- in Campos. And I just wondered -- I was curious if you could share your view on that market and the opportunities for growth, and to what extent you may be talking to Petrobras on some of their production issues.
Paal Kibsgaard: Yes. I would say that, just in general, the -- we maintain a positive view on Brazil. There has been delays in terms of rig startups, rig arrivals during this year and also when Petrobras turned some of the -- their deepwater capacity towards production. That obviously impacts our drilling rate and product lines as well, right? But they are putting priority on, like you say, stemming the decline and getting production back up again, so that makes sense. And we will work with them in whatever capacity we need to, to help them out with that. But overall, Brazil is going to show good growth going forward. There are probably going to be some bumps along the way, but we are there. We have a very strong presence. We have a very good relationship with Petrobras, and we'll work with them the way they want us to.
Malcolm Theobald: On behalf of the Schlumberger management team, I'd like to thank you for participating in today's call. Julie will now provide the closing comments.
Operator: Ladies and gentlemen, this conference is available for replay after 10 a.m. today through midnight, November 19, 2012. You may access the AT&T Executive replay system at any time by dialing 1 (800) 475-6701 and entering the access code 255344. International participants dial (320) 365-3844. With that, that does conclude our conference today. Thank you for your participation and for using AT&T Executive TeleConference. You may now disconnect.